Marcos Lopez Garcia: Good morning to everybody. A warm welcome to all of those attending the presentation of Inditex's results for the Interim Nine Months 2023. I am Marcos Lopez, Capital Markets Director. The presentation will be chaired by Inditex's CEO, Oscar Garcia Maceiras. Also with us today is our CFO, Ignacio Fernandez. The presentation will be followed by a Q&A session starting with the questions received on the telephone and then those received through the webcast platform. Before we start, we will take the disclaimer as read. Over to you, Oscar.
Oscar Garcia Maceiras: Good morning, and welcome to our results presentation. It is my pleasure to join you today. In the interim nine months of 2023, Inditex saw a very robust operating performance, driven very much by the creativity of our teams and the strong execution of our fully integrated business model. This performance relies on the four key pillars of our strategy we have been talking about throughout the year: our unique fashion proposition and optimized customer experience; our focus on sustainability; and the talent and commitment of our people. These are the principal factors driving our differentiation. We have experienced very satisfactory sales growth of 11.1%. The execution of the business model has also been very robust with a healthy gross margin and controlled cost management. On the bottom line, net income increased 32.5% to EUR4.1 billion. The operating performance of the Group further underpins our sound financial position. We have generated significant free cash flow over the period. You will note, this strong performance has continued into the fourth quarter. Store and online sales in constant currency between the 1st of November and the 11th of December grew 14%. Let me highlight some key features of this performance for the year so far, which has been marked by a strong execution. Our Autumn/Winter collections remain very well received by customers. Sales in constant currency increased 15% with a strong growth seen in both stores and online. Sales were positive across all geographical areas and as well as across all of the concepts. Our diversified presence in 213 markets with low market penetration offers us significant global growth opportunities. We have complete confidence in our ability to grow this business, mainly because the model we operate is entirely unique. This in turn drives the increasing differentiation we have all been seen. I will hand you over to Ignacio to go into some of the headline numbers.
Ignacio Fernandez: Thanks, Oscar. As you can see in our financial release, Inditex performed strongly in the first nine months of 2023. Sales have progressed well, plus 11.1%. We have actively managed the supply chain and this has driven a very healthy gross margin performance. Operating expenses have, of course, been entirely managed, and this has generated operating leverage. Consequently, EBITDA grew 13.9% to EUR7.4 billion. Below this line and for comparability reasons, this is worth noting the provision charge in the nine months 2022 operations in the Russian Federation and Ukraine for EUR231 million in that year. We have also seen very strong progress on the net income line with increase of 32.5% to EUR4.1 billion. The Group continues to generate significant free cash flow and this has taken our net cash position to EUR11.5 billion. I would like to reiterate that sales have progressed very well, plus 11.1% and have reached EUR25.6 billion. That's 15% in constant currency. Sales growth was strong, both in stores and online. Additionally, sales have been positive across all regions and across all concepts. Based on current exchange rates, we expect a minus 4% currency impact on sales for the full year 2023. In the interim nine months of 2023, the execution of the business model was very strong. Additionally, the Autumn/Winter 2023 season has experienced a normalization in supply chain conditions and a more favorable euro-US dollar exchange rate compared to the 2022 Autumn/Winter season. In the interim nine months of 2023, the gross profit grew 12.3% to EUR15.2 billion. The gross margin increased 67 basis points to 59.4%. In the latter part of 2023, the strong execution of the business model and the operating conditions mentioned previously have continued. For the reason and based on current information, Inditex expects its gross margin in fiscal year 2023 of around 75 basis points higher than fiscal year 2022. There has been very tight control of operating expenses across all departments and business areas. Operating expenses increased below sales growth over the nine months of 2023. Including all lease charges, operating expenses grew 130 basis points below sales growth. Over the period, we have experienced a robust operating performance. As mentioned, we have also seen a normalization in supply chain conditions. Inventory at Inditex as of October 31, 2023, was 5% lower than on the same date in 2022. Let me highlight that the end-of-the-period inventory is considered to be of high quality. Due to the strong cash flow generation, the net cash position has grown 15% to EUR11.5 billion. And now over to you, Marcos.
Marcos Lopez Garcia: Thank you. Over the interim nine months of 2023, the performance of the Group has been very good. Notably, this performance was across all the concepts. We are very happy with execution over the period. Inditex has continued with expansion and has opened stores in 36 different markets. We have also continued the rollout of concepts in new markets, such as the first Stradivarius stores in Germany at Stuttgart and Dresden. Store and online sales across all concepts have been robust. The performance has been strong at all levels. We are pleased with the execution of the concepts. And now back to you, Oscar.
Oscar Garcia Maceiras: Thank you, Marcos. I'm going to cover some of the recent initiatives which have been driving the increasing levels of differentiation. First and foremost, our priority remains to always work on maximizing the appeal of our fashion proposition. Creativity, innovation, design and quality are the defining features of our collections and a key focus for all of our teams and departments. A good example of this is Zara Women's Studio, the Zara Man Knitwear range, the Zara Kids Autumn/Winter collection, the new launches of Zara Fragrances, Zara Home editions for the festive season, Pull&Bear's party wear, Massimo Dutti's Manhattan Collection, Bershka's Teddy Coats collection, Stradivarius Knight, and finally Oysho's Recco Ski collection. The new store design for Zara created by our Architectural Studio is now being rolled out across the store base. The design integrates attractiveness and functionality into sections, like digital, the fitting rooms, self-checkout areas, click and collect points, in-store silos and stockrooms. This new Zara store design is featured in openings, enlargements and relocations. A key project of the year has been the enlargement of the Zara store at Dubai Mall of the Emirates. Just like all the other important flagship stores recently opened, it includes dedicated spaces for lingerie, shoes and handbags, the origins collection and newborns. It also includes all the features that allow a complete digital experience. The opening on the 17 November of the Zara store at Coolsingel in Rotterdam incorporates Zara Home and has attracted very strong traffic. The recent enlargement of the Zara store at Miami Dadeland also illustrates well what we are trying to achieve. Also, we have recently opened our new store at Sevilla Plaza del Duque. All the concepts have been optimizing their stores. Let me highlight four very relevant store projects. First of all, the Massimo Dutti store opened in London Battersea in a unique architectural setting. Bershka has enlarged its flagship at Milan's Corso Vittorio Emanuele. Stradivarius has opened its first physical stores in Germany at Stuttgart and Dresden, building upon its existing online presence in the market. And to finish off, Oysho has opened a flagship store in an emblematic building in Madrid Gran Via. The hard work to implement the new security technology, which eliminates the need for hard tags is now in operation in Zara stores globally. Test operations started this Autumn/Winter season and are proceeding according to plan, with full implementation by fiscal year-end 2024 expected. We have recently launched a new weekly livestream experience on Douyin in China. The livestream runs for five hours and includes catwalks, walk-throughs of the fitting rooms and makeup area, and behind-the-scenes views of the camera, camera equipment, and staff. The livestream reflects our continual efforts to offer the best customer experience and will be available soon in other markets. In terms of circularity, we continue the deployment of the Zara pre-owned platform. On the 12th of December, the platform was launched in 14 European markets, including Spain, expanding the service already offered in the United Kingdom and France. Through this platform, we will continue helping our customers to extend the lifecycle of the Zara garments through donation, repair and resale and will contribute to the reduction of waste. Our culture and values are a fundamental part of how we do things at Inditex. To this end, we have more than 165,000 people who on a daily basis give life to our culture. With our teams in mind and in line with our commitment to people, we continue to develop initiatives that reinforce our values in all the markets in which we operate. In October, we celebrated the fourth edition of Impact Week, reinforcing our commitment to people with disabilities. 20,000 people from all our markets participated in different initiatives. Our target is to recruit people with disabilities in order to reach a minimum of 2% in the global workforce by the end of 2024, in line with our commitment to the ILO Global Business and Disability Network announced in January of this year, Let me now move to the outlook for 2023. We remain on track to deliver upon all of our long-term goals. The talent, commitment and passion of our teams all around the globe will always be key to our competitive edge. We offer a unique fashion proposition, defined by creativity, innovation, design and quality. The continuous optimization of the customer experience is central to our approach. The strength of the full integrated business model that is operating at full pace has been clear in recent times. Inditex operates in 213 markets with a low share in a highly fragmented sector and we see plenty of opportunities for both organic growth and expansion. We also see increased sales productivity in our stores going forward and also expect the gross space growth in 2023 to be around 3%. Optimization of stores is ongoing. We expect space contribution to sales to be positive in 2023. We are making investments that are scaling our capabilities, generating efficiencies and increasing our competitive differentiation to the next level. For 2023, we estimate ordinary capital expenditure of around EUR1.6 billion. A brief reminder on the dividend. The final dividend payment for 2022 of EUR0.6 per share was made on the 2nd of November. I would like to finish with a brief comment on our current performance. Autumn/Winter collections continue to be very well received by our customers. Store and online sales in constant currency between the 1st of November and the 11th of December 2023, increased 14%. Thank you all for attending this results presentation. That concludes our presentation for today. We would be happy to answer any questions you may have.
A - James O’Shaughnessy: The telephone Q&A session starts now. [Operator Instructions] The first question goes to Geoff Lowery from Redburn. Please go ahead, Geoff.
Geoff Lowery: Good morning, team. My question, your inventory turn has improved markedly relative to pre-COVID, pre-virus. Is there further opportunity for you to increase turn or do you think you've reached an optimal level? Thank you.
Marcos Lopez Garcia: Thank you, Geoff. As you see, we're always trying to improve things. Obviously, we also have to look at market conditions. If you remember, last year, due to the possible risks in the supply chain, we decided to anticipate, you know, the dates in which we will receive the product without changing the commitment. And this year, we are reversing that and this is why our inventory is 5% lower. We continue trying to do things better all the time. There are a number of measures always in place that we believe can improve things. For example, obviously having a fully integrated inventory for the stores and for online helps, you know, the way we improve our turns. Always trying to do things there. However, the way we look at the inventory is very much through the commitment, right? The fact that we have open to buy at the beginning of each season, a very substantial part of what we're going to sell, means that the risk that is involved in our inventory is much lower than that in the industry in general. Why? Because we're adapting our collections continuously to demand and it's something that you have seen this quarter. On the other hand, there is a very clear comment that we can make, is that due to the things we're implementing into the business model, the cash conversion of the company is also increasing, as you have seen over recent months.
James O’Shaughnessy: The next question comes from Georgina Johanan from JP Morgan. Go ahead, Georgina.
Georgina Johanan: Hi, thank you for taking my question. It was just regarding next year, please, just mindful that, obviously, you're facing a very successful year in 2023. I am just wondering if you can give any early indications about the sort of level of growth that you would anticipate. And then in that vein, whether it will be possible to see margin progress further next year, or rather we would need to see sort of growth in double-digit territory for margin to move further on. Thank you very much.
Marcos Lopez Garcia: Thank you for your question, Georgina. You know that we remain very focused on the current season. The trading update we have provided, 14% sales growth in local currencies. The company remains totally committed on the current season. We have also upgraded the gross margin guidance for the year, based on the operating conditions and also the US dollar exchange rate. And this is why we now expect the gross margin to be around 75 basis points higher this year, you know, over the previous year. In general, you know that our model provides very strong stability in margins, and if we want to add something, we will do it in March next year.
James O’Shaughnessy: Thank you. The next question comes from Sreedhar from UBS. Please go ahead, Sreedhar.
Sreedhar Mahamkali: Hi. Good morning. Thanks for taking my question. So just really one in terms of online participation. In the statement, you talked about an increase in participation. Can you give us an idea where we are now this year so far, maybe up to nine months even? Thank you.
Marcos Lopez Garcia: Well, in the statement, we have mentioned that sales have been positive in stores and online. They have been positive in all the concepts and they have been positive in all the key geographies. Obviously, you should expect a secular growth in the online participation, but within a very, very healthy performance as we have been mentioning over this presentation.
James O’Shaughnessy: The next question comes from Anne Critchlow at Societe Generale. Go ahead, Anne.
Anne Critchlow: Thank you. Good morning, all. We might have expected the gross margin to be up more strongly in Q4 compared to Q3, and that's not implied by the guidance. So I am just wondering if this reflects some price investment in Q4 and also perhaps explains the re-acceleration in sales trends.
Marcos Lopez Garcia: Well, as we have mentioned in the presentation again, the gross margin performance over these nine months, plus 67 basis points, is very much the result of execution, some normalization in the supply chain conditions and a more favorable euro-US dollar exchange rate. As these two factors remain over the fourth quarter, we have updated the gross margin guidance for the full year [indiscernible] to around plus 75 basis points for the year. So this is -- these are the results of the execution, and then the operating circumstances we're finding right now in the market.
James O’Shaughnessy: Thank you. The next question comes from Richard Chamberlain at RBC. Thank you.
Richard Chamberlain: Thanks, James. Morning team. Just a quick question on the financial results line, please. I see you've got another negative non-cash FX impact going through that line. I wonder, do you expect that to continue, presumably you do in the fourth quarter, but also for the first half of next year? Thank you.
Marcos Lopez Garcia: Thank you, Richard. As you know, in the financials there are three main lines. First one is the net financial income and losses, where we get the results of our treasury. We also have the lease financial expenses, which is non-cash according to IFRS. And then we have the foreign exchange gains and losses which is very much -- as you know very well, this arises from the non-cash translation of working capital in subsidiaries. You will have to wait for the end of the quarter exchange rates to be able to mention that. Of these three components, obviously, the return of our treasury is cash, and then the lease financial expenses and the FX income and losses are non-cash. So, again, is something that we cannot provide you guidance with, but clearly, again in the treasury, we are obtaining more cash and then it will be very much on the leases and on the FX income and losses. One point that I would like to comment, and I think it's quite relevant is that linked to the leases, in the D&A line, you see it just grew by 1%. This is due to a renegotiation of rents and the renegotiations of contracts. And as a result, the right of use has fallen 2% in the nine months to EUR4.9 billion versus EUR5.1 billion in the nine months 2022, just to cover all the -- you know, the lease expenses. And this is what we can tell at this moment.
James O’Shaughnessy: The next question comes from Nick Coultier at Citi. Go ahead, Nick.
Nick Coultier: Hi. Good morning. Please, could I ask about your performance in the Americas, and if there's anything to call out there just mindful of a softer consumer environment in the US? Thank you.
Oscar Garcia Maceiras: Thank you. Well, like in previous quarter, we remain very satisfied with our performance in the different markets. Marcos has already referred the positive trend in the different geographical areas and for all of the concepts, both offline and physical store channels. In the case of US that remains our second most important market. The business is working well and we are happy and we continue to see significant opportunities for our selective growth there. Well, during this quarter, some of the projects that we announced during our annual results presentation has become a reality, such as the relocation of our store at Dadeland in Miami, or the opening of our store in Baton Rouge in Louisiana, or our new store in San Antonio, Texas. And additional exciting projects will come in the -- during the next weeks, including, for instance, the reopening of our stores in Roosevelt Field Mall at New York State. So the business is performing well and we are happy with that.
James O’Shaughnessy: The next question comes from Nicolas Champ from Barclays. Go ahead, Nicolas.
Nicolas Champ: Thank you. Good morning, everyone. Quick one on your input cost. I mean, following the wage increase in Bangladesh and also the increase in custom duty rates in Turkey, I mean, would you anticipate an increase in input costs over the coming years -- coming months, sorry, and if so, do you plan to pass on this additional cost increase to your customers by raising prices?
Marcos Lopez Garcia: Well, thank you very much for your question, Nicolas. As you know, in the gross margin, there are many factors, is markups, markdowns, currency, very specially the fashions prevailing. So clearly we have provided a very clear guidance in terms of gross margin for the year, in the sense that based on the execution we are seeing in our business and the US dollar-euro exchange rate that we're facing at the moment, what we see is an increase -- estimated increase of the gross margin for the year of around 75 basis points. So when looking at the gross margin, you cannot just extrapolate one single factor. You have to put everything together. So our model provides stronger, I would say, stability in terms of the margins and this is what we keep on focus on.
James O’Shaughnessy: We'll move over now to the webcast platform. There's been a couple of questions, the first of which is, perhaps you can give us some comment on the success of the existing pre-owned platform in the UK and France. What are your targets for the pre-owned platform, please?
Oscar Garcia Maceiras: Thanks for the question. Well, we see this project one of the key initiatives for our strategy in terms of circularity. As you know, through this platform we will continue helping our customers to extend the lifecycle of the Zara garments through donation, repair and resale. Our journey began in the UK on the 5th of November of 2022 and France was the second market since September 2023, and are performing very well. And this week, we are very excited with the arrival at new 14 European markets, including Spain. As a reminder, we announced during our last AGM in July that we have the commitment of launching pre-owned or alternative circularity projects in all of our core markets by 2025.
James O’Shaughnessy: Thank you. Perhaps also you could provide some comments on the live-streaming initiative in China, please.
Oscar Garcia Maceiras: Well, adapting to our customers, trying to offer them the best experience everywhere, every time, is one of the key pillars of our strategy. And in China, it's obvious that digital is integrated into people's everyday life. And that's why we decided to launch some weeks ago this new weekly livestream experience there through Douyin. Every week we offer one livestream that runs for five hours with our highest standards in terms of quality and image from a set located in Shanghai and with a team of more than 75 members, including two ambassadors. Feedback received from our customers there in China has been very positive, and this type of livestream initiatives as a way of improving the experience of our customers will be available soon in other markets.
James O'Shaughnessy: Thank you. That concludes the webcast questions for today.
Oscar Garcia Maceiras: Thank you to all of those participating in the presentation today. For any additional questions you may have, please get in touch with our Capital Markets Department and we will welcome you back in March for the full year 2023 results.